Operator: Good day and welcome to The Beauty Health Company First Quarter 2023 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Eduardo Rodriguez, Senior Director of M&A and Investor Relations. Please go ahead.
Eduardo Rodriguez: Thank you, operator and good morning, everyone. Thank you for joining The Beauty Health Company's conference call to discuss our first quarter 2023 financial results which were released this morning and can be found on our website at beautyhealth.com. We also encourage you to join the webcast available on our website which contains a presentation that will be referenced during this call. With me today are Beauty Health's President and Chief Executive Officer Andrew Stanleick; and Chief Financial Officer, Liyuan Woo. Before we get started, I would like to remind you of the company's safe harbor language. Management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our filings with the SEC. This call will present non-GAAP financial measures. Reconciliation of these non-GAAP measures to the most comparable GAAP measures are included in the earnings release furnished to the SEC and available on our website. I will now turn the call over to Andrew.
Andrew Stanleick: Thank you, Eduardo. Good morning, everyone and thank you for joining Beauty Health's first quarter 2023 earnings call. Today, we'll discuss the drivers of our Q1 results and our raised outlook for fiscal 2023. To begin, I will discuss our performance and accomplishments for the first quarter. Later, Liyuan will provide more detail on our financial results, after which we will be happy to take your questions. As always, I want to start by thanking our Beauty Health team members, our aestheticians and provider partners who together make up our global HydraFacial Nation for their continued hard work, passion and creativity. During the first quarter, our team made meaningful progress against our 5-point master plan, positioning us well to capture the tremendous growth we see ahead for our business globally.  All in all, we delivered a solid 14% net sales growth for Q1, continuing a quarterly trend of double-digit revenue growth. Quarter 1 was highlighted by a particularly strong March which was our second-highest net sales generating month ever, demonstrating a building momentum ahead of the Q2 international launch of our Syndeo system and reinforcing our confidence in our 2023 guidance. Q1 performance overall was anchored by 21% year-over-year consumables net sales growth, a signal of the strong underlying demand for HydraFacial treatments as consumers continue to prioritize products and treatments that make them feel good about themselves. On Slide 5, you see that consumables net sales in the Americas grew a staggering 34% for the quarter, demonstrating the continued strong consumer demand for HydraFacial. In EMEA, we achieved 13% growth year-over-year, excluding Russia's $1.2 million contribution to Q1 consumables net sales in 2022, EMEA's consumable growth was 35%. In APAC, COVID-related shutdowns in China created consumable sales softness in January and February. However, March saw a rapid acceleration as the country reopened.  On the Delivery Systems side, net sales grew 9% year-over-year. As a reminder, we saw a very robust performance in the first quarter of 2022 with the launch of Syndeo which creates a difficult comparison for growth in the first quarter of this year when combined with the loss of the Russia business. Additionally, we saw a natural degree of holdback on the delivery systems from providers outside of the U.S. in anticipation of Syndeo international availability in Q2 2023. Finally, going back to China, prolonged COVID closures during the early months of the quarter weighed on device sales performance. However, we saw a strong resurgence as of March. In fact, March shattered the previous monthly record for delivery system sales in China by 2.5x as providers ready to meet consumer demand. After visiting China in April, my first time since the pandemic, I am very optimistic about the potential of returning to pre-pandemic growth rates. The investments we made in China in 2022 has served us well and I can attest that we have a strong team and operational infrastructure in place in order to seize the large opportunity in the strategic market. Even with these factors at play, the number of new delivery systems sold globally during the quarter grew 4% and our ASP grew 17% year-over-year. As we have previously discussed, the first quarter is historically our smallest quarter of the year due to the natural seasonality of our business. Looking ahead to the second quarter, we are very encouraged by the return of consumer and provider demand that we see from China and the early performance of Syndeo international launch. This, together with the investments we made last year and favorable market trends gives us the confidence to raise our 2023 net sales target and reconfirm our 2023 adjusted EBITDA margin guidance and long-term 2025 targets. As we typically do, I would like to walk you through the progress we have made against our 5-Point master plan in Q1. Strategy remains consistent and is laser-focused on delivering profitable growth while moving with speed and agility to capture the tremendous opportunity we see ahead of us. Starting with our first pillar on Slide 7. In Q1, we marked the first anniversary of the U.S. launch of Syndeo, our revolutionary connected delivery system. On March 30, we announced Syndeo's international availability to great excitement at the AMWC trade show in Monaco. Today, Syndeo's systems are live in 14 of our direct markets with the balance to follow by the end of the year. One year on from its debut, we have placed nearly 5,000 Syndeo systems across the world. We are very pleased with this uptake to date and expect growth to continue as we execute on our international Syndeo launch and capitalize on broader sector tailwinds. Back in the Med Spa channel, the core of our business is expected to grow at a 14% CAGR for the next 5 years in the U.S. alone and we'll continue Austin de rollout with the distributor markets in 2024. In the meantime, our Elite system will continue to be sold in our distributor markets, including those elites that we refurbished in connection with our Syndeo trade-up program.  Second strategic pillar is a commitment to investing in our providers. Our world-class training programs and experience centers are instrumental in fostering these connections. To date, we have trained more than 40,000 effications globally, turning them into ardent brand evangelists. In fact, those who have gone through one of our training programs not only generate double-digit growth in consumable purchases; they are much faster to purchase a second system for their practice. These trainings teach our providers valuable skills and best practices when it comes to Hydrafacial treatments and offer business building acumen to drive practice growth. This month, we launched a new business-focused curriculum and mini-beauty MBA, if you will which targets med spa owners, medical directors and physicians, further deepening our relationship with our community. These programs are talked virtually and in our experience centers across more than a dozen global cities, including New York, London, Paris and Shanghai.  The facilities factors more than just training hubs. They serve as showrooms to host influencers, editors and key opinion leaders in every region. As I recently had the pleasure of opening our new experience center in Beijing, our second in China after Shanghai. This state-of-the-art facility includes a live streaming studio a 24/7 production of localized engaging content. The reopening China, we are incredibly excited about the opportunity in the strategic market. Next, we continue to build awareness for our much-loved HydraFacial brand. Primary objective of our marketing engine is to drive traffic to providers, bringing buzz and hype through their doors. You may have seen this in our birthday cake takeover last week, photos of which you can see on Slide 9. Range NASDAQ opening bell showed up on Time Square billboards and seeded birthday cakes to top influencers around the world. Together with our partners, we are creating unique attention-grabbing moments that capture the public's imagination.  Just last week, our teams collaborated with Sephora's top doors across the U.S. to host exciting co-branded events. As a reminder, Perk HydraFacial treatments are available at Sephora in the U.S., Canada, the U.K. and Southeast Asia. We carefully measure a variety of consumer engagement metrics such as earned media value and Google search trends to ensure the effectiveness of our marketing programs. As I mentioned earlier, consumer enthusiasm for our brand remains as strong as ever with the 2 most recent quarters representing our top 2 highest consumables net sales quarters ever. You can see from the headlines generated and consumer awards earned that HydraFacial has never been hotter in the eyes of consumers. As one beauty editor put it, HydraFacial is having a renaissance. Concretely, you can see on Slide 10, the results generated in earned media value which grew 134% year-on-year despite comping against the Bazaar on Sinders U.S. launch in Q1 of last year.  Today, HydraFacial is a leader in earned media value in aesthetics with more than twice the combined EMV of the next 5 peer brands. We are reaching towards the level of compensation only seen by mainstream beauty brands cracking the top 50 U.S. skincare brands in March 2023, as measured by Tribe Dynamics. A rising consumer awareness also shows through in organic Google search trends which are up 13% year-on-year and 53% versus 2021. As we discussed last quarter, the planned elevated investments we made over the past 2 years were designed to build scalable global infrastructure. One of the important elements of that investment was building our foundation in China, a critical growth market for us. With a TAM of at least 2x that of the U.S., China is a massive untapped opportunity for Beauty health. Recent reports estimate that China's middle and upper classes will increase by over $80 million to account for 40% of the country's total population by 2030. This is HydraFacial prime target consumer.  While the COVID lockdown persisted longer than any of us reasonably predicted, we are pleased to see a budding resurgence in China as economic activity returned in earnest starting in March. Enthusiasm for Beauty and aesthetics treatments in China is rapidly growing, particularly for noninvasive and minimally invasive treatments. HydraFacial with its gold standard positioning and relatively low cost of capital is the perfect gateway product for providers to capitalize on this sector tailwind. During my recent visit to the market with Liyuan, there was palpable excitement around the launch of Syndeo and its potential to revolutionize the future of preventative skin health. In fact, nearly all our providers now report operating at full capacity with traffic nearly back to pre-COVID levels. We look forward to sharing more on our performance in the region over the coming quarters as we continue to bring HydraFacial to the opportunity-filled Chinese market.  Moving on to our strategy as it relates to M&A on Slide 12. Since our inception, our vision has been to build Beauty Health into a multi-brand platform through a build-and-buy strategy. We have a strong cash position to pursue inorganic opportunities and we continue to be opportunistic and evaluate opportunities that provide differentiated products or services, or complementary to our platform and community and are financially accretive. A tangible example of our approach to M&A is our recent acquisition of skin status, an FDA-cleared micro-needling device that we discussed on our last earnings call. As an acoustician-founded brand, skin styles fit seamlessly into our platform and expands our portfolio in the treatment room. I am pleased to report the integration of the business is now complete. While we continue to expect an immaterial contribution to net sales from skin styles in 2023, we are very excited about the potential upside in 2024 and beyond, the details of which we will share in due course.  Before Liyuan begins our update, I would like to again thank our teams around the world for their strong performance. This quarter, we continued to drive double-digit top-line growth and now it's the highly anticipated international launch for Syndeo and integrated a new product into our platform trends we are seeing aesthetics play perfectly into our multi-brand ecosystem, supporting our strategy and validating our long-term growth runway. Continued strength of our consumables business, the growing consumer interest in our brand and our unique third-party brand partnerships when combined with the international expansion of our breakthrough Syndeo system and competitive mode of patented technology fuels our ability to win in 2023 and beyond. And with that, I will turn the call to Liyuan.
Liyuan Woo: Thank you, Andrew and thank you, everyone, for joining the call. I'd like to take a moment to echo Andrew's gratitude to our teams and partners around the world. We delivered double-digit top-line growth in the first quarter against the timing of last year's Syndeo U.S. launch. Today, I will walk you through our first quarter results, cost and balance sheet highlights and finally, our outlook for the rest of 2023. Turning to net sales on Slide 17. We delivered net sales of $86.3 million in the first quarter, up 14% year-over-year, driven by strong demand for consumables which grew 21% year-over-year. The net sales result is in line with our plan as we comped against Syndeo’s U.S. launch from Q1 last year and reflects an unsurprising impact from January and February core-related shutdown in China. Our Delivery Systems segment grew by 9% year-over-year. There are 3 primary drivers behind the moderated growth.  First, comped against a strong longer in the U.S. last year. Second, the January and February COVID-related shutdowns in China; and third, providers outside of the U.S. holding purchases of delivery system in anticipation of the Syndeo International launch in Q2 2023. Addressing the first driver, Syndeo's surprise and successful launch in the U.S. was in Q1 2022, making a year-over-year comparison difficult. On the second driver, as you recall, China broadly announced reopening at the end of last year. However, a wave of COVID infection shut down the market in January and February. Finally, in March, the market began rapidly recovering. As Andrew mentioned, in March 2023, we sold 2.5 more China's previous high for systems sold in the month, giving us confidence around the opportunity in the region. Last, as is natural, international providers held purchases of delivery system in Q1 2023 in anticipation of Syndeo's launch in Q2 2023. Importantly, Syndeo's international launch performance to date is promising, with strong traction across our launch market.  As a reminder, the first quarter historically contributes the smallest net sales and adjusted EBITDA to our fiscal year. We have expected and continue to expect our growth to be back half-weighted in 2023. This is consistent with our historical business model and will we contemplated in our sites. The momentum we see to date gives us the confidence to raise our 2023 outlook to a range of $460 million to $480 million in net sales and reiterate our 18% to 20% adjusted EBITDA margin target which I will explain in further details in the moment. Turning to our regional performance on Slide 17. You will see the Americas segment was strongest with 19% year-over-year net sales growth. Growth in this region was driven by strong consumables net sales which grew 34% year-over-year, a testament to the continued consumer demand for HydraFacial treatment. EMEA followed with growth of 10%, driven by prelaunch demand for refurbished EV systems and providers holding owners in anticipation of Syndeo's Q2 2023 launch. As Andrew mentioned, EMEA's performance was impacted by a lack of net sales from Russia in Q1 2022. Excluding Russia's 2022 contribution of approximately $1.5 million, EMEA's total net sales growth was 20% year-over-year.  Turning to APAC. Despite the COVID shutdowns in China for the first 2 months of the quarter, we achieved growth of 6% year-over-year. As Andrew mentioned, we're encouraged by the recovery we have seen starting in March. Briefly touching on our KPIs on Slide 18. We ended the first quarter with a net installed base of 27,406 delivery systems, an increase of 26% year-over-year. Consistent with what we discussed last quarter, we saw systems on turn and become active again in Q1 in connection with China's recovery in March. Excluding trade-up, we placed 16 36 new delivery systems in the first quarter, representing growth of 4% year-over-year despite lapping Syndeo's U.S. launch. Important to note, we expect trade-up volumes for Q2 2023 to materially step up from Q1 2023 as we execute our Syndeo international launch strategy and drive continued adoption globally. This would follow a similar pattern to last year's Q2 with the exception of smaller contribution for international.  Our ASP for the quarter grew 17% to 25,099, primarily driven by the increased mix of Sandell sold in Q1 of 2023 compared to the same period last year. As a reminder, Syndeo launched in the U.S. in early March 2022. As we have stated before, while full-year ASP growth will be heavily influenced by the extent of trade-up systems sold, we continue to expect a high single-digit increase in the blended ASP for the year. Turning to Slide 19. I would like to take a moment to remind you why we're so excited about our strategy and the future growth of our business. The top chart shows the annual consumables revenue per delivery system in the Meds Spa channel, the core of our installed base. As you see, delivery system revenue productivity grows over time as providers utilize their systems more often, upsell booster treatment and expand treatment beyond the face. We're just getting started in unlocking the embedded potential of our installed base.  The chart is a demonstration of the long-tailed lifetime value each one of our system placements represents, a promising source of upside for consumables net sales in the future as our installed base matures. On the bottom chart, you can see how long it takes for our Med Spa installed base to ramp up its productivity. As we have shared before, it takes at least 4 quarters before meaningful gains are seen. As we continue to rapidly expand and build our footprint amidst the massively growing category, our installed base is getting younger, shifting where we fall on these curves to the left. This means using a per system utilization metrics today understates the true potential and health of our business as we believe our installed base will ultimately mature and become more productive over the long term.  Moving to Slide 20. For the first quarter, we reported a GAAP gross margin of 62.7% or 70% on an adjusted basis. Gross margin declined year-over-year on a GAAP basis due to $3 million of inventory optimization-related write-off which was added back to adjusted gross margin. As we all know, the supply chain environment has been volatile since the start of the pandemic, forcing us to be resourceful with components to meet growing demand. As mentioned before, this means we have been inefficiently assembling systems during the supply chain volatility. Now that the supply chain is stabilizing, we are opportunistically value engineering our materials and processes by scrapping components in favor of more efficient options. We believe this will optimize our operations in the long term but it does come with near-term expenses as we streamline our inventory.  On an adjusted basis, gross margin declined by 133 basis points, primarily driven by the sale of lower-margin refurbished EV systems during the pre-Syndeo international launch period. We continue to expect year-over-year gross margin expansion for fiscal 2023 as part of our journey toward our targeted 18% to 20% EBITDA margin. Given the similar trade-up dynamics with launching a bill, we expect the gross margin for the first half of '23 to be pressured as we work in the first half of 2022, with the expansion expected sequentially in the second half of 2023 with increased volume. Moving to the bottom right, we reported adjusted EBITDA of a negative $0.5 million for the quarter. As mentioned earlier, international launch costs for Syndeo were incurred this quarter. But given the Q2 2023 launch timing, the associate net sales upside is expected in the second quarter and beyond. This, along with the OpEx burden created by the January and February shutdowns in China and the lower gross margin inherent in refurbished resale impacted our profitability for the quarter.  Our adjusted EBITDA also included $1 million of patent litigation expense and $2.9 million of severance and restructuring expenses as we continue to optimize for profitable growth. I want to spend a few moments on Slide 21 to remind you of the seasonality of our business which bears repeating not only as we look at Q1 performance but also our expectations for the full year of 2023. On the left, you will see our sequential net sales growth pattern throughout the year. Q1 sequential growth rate represents a 12 for the year, resulting in lower net sales compared to the preceding Q4 and the lowest quarter of the year. As we mentioned previously, this Q1 is no different. With China shutdowns in January and February, an international provider holding back in anticipation of Syndeo's Q2 2023 launch, amplifying the sequential seasonality.  The second quarter typical gains momentum sequentially due to the marketing activities conducted in the first quarter. As a reminder, the second quarter of 2022 saw a one-time $23.3 million benefit from trade-up demand in connection with the U.S. Syndeo launch. With the Syndeo International launch now in full steam, we expect Q2 '23 to experience a similar but less pronounced one-time spike in trade-up demand. Q3 continues to build on Q2's momentum with relatively moderate sequential growth, excluding trade-ups. This is due to a seasonal summer slowdown that is broadly applicable across the beauty sector, particularly in EMEA. Lastly, the fourth quarter use of Q3 and is historically our highest dollar quarter of the year. It benefits from a peak in consumer demand, holiday promotion and the desire that many of our partners to utilize remaining CapEx budget for the year.  Moving to Slide 22. I wanted to reiterate how to think about the sequencing for our profitability during the year. We turn our strategic marketing investments early in the year which subside as we progress throughout the year. Our biggest and most productive trade shows occur in the first half of the year and the lease generated from these strategic investments support our funnel and feel the stronger sales and margins historically see in the second half of each year. On this slide, you can see the results of this quarterly sequencing in adjusted EBITDA contribution in 2022. Similar to last year, Q1 generates a minimal amount of the full year's EBITDA. Given our substantial fixed cost base, the net sales seasonality we just walked through naturally makes us a back half-weighted business for EBITDA flow-through. We extract operating leverage from the higher revenue in the back half of the year and our marketing spend moderate as the year progresses.  We expect our 2023 quarterly EBITDA contribution to follow a roughly similar cadence as shown on this slide, with the bulk of the EBITDA generated in the back half of the year as is customary for our business. Important to note and as we just discussed, Q2 2022 EBITDA contribution reflects a higher trade-up volume than we currently anticipate for Q2 2023. I will now turn to Slide 23 to walk through our cost details. Selling and marketing expenses for the first quarter was $38.7 million compared to $36.4 million in the same period last year. The increase is primarily due to higher personnel-related costs, including sales commission expense. Selling and marketing expenses as a percentage of revenue increased 342 basis points year-over-year, partially due to the lapping of Synbio U.S. launch costs and increased operating leverage from higher revenue. Fourth quarter G&A expenses of $30.4 million were $4.1 million higher year-over-year, primarily a result of an increase in software expenses, including certain contract termination costs and professional service fees, including patent litigation expenses, partially offset by lower recruiting-related expenses. On a run-rate basis, our G&A expenses continue to hover around $20 million to $22 million. Lastly, R&D costs continue to remain relatively flat. I will now move to our balance sheet highlights on Slide 24. We ended the first quarter with roughly $532.3 million in cash and cash equivalents. We remain well capitalized to execute on our growth initiatives and continued remain optimistic about M&A that accelerates the vision of our platform. As discussed during the last earnings call, we continue to make working capital investments during the first quarter in anticipation of Syndeo international launch. With the launch now upon us, we expect to reduce our working capital balance going forward, primarily by working through our existing inventory. As we mentioned before, we expect to normalize to approximately 1 to 2 quarter worth of inventory on hand by the end of the year. Finally, our diluted share count at the end of first quarter stood at approximately $132.6 million. In April, we completed the second $100 million tranche of our accelerated share repurchase program. With the $200 million of total share repurchases announced last year, we retired approximately 18.8 million shares at an average price of $10.78 per share.  As Andrew mentioned, we continue to have strong underlying consumer demand. The global traction for Syndeo has been strong and China has shown a rapid recovery since March. These trends are part of what gives us the confidence to deliver the implied year-to-go net sales growth shown on Page 25. As I mentioned earlier, we expect value engineering to create gross margin expansion and top-line strength to deliver operating leverage down the P&L, combining to reach an 18% to 20% adjusted EBITDA margin for the full year. As Andrew mentioned, we remain confident and on track to deliver our 2023 commitment. We continue to deliver double-digit year-over-year growth, fueled by our marketing efforts, driving sustained consumer demand throughout our markets and sector tailwinds. The execution of the Syndeo international launch to date has been promising and we look forward to providing you with an update during our next earnings call. Andrew and I will now gladly take your questions.
Operator: [Operator Instructions] The first question today comes from Korinne Wolfmeier with Piper Sandler.
Korinne Wolfmeyer: So I'd like to touch a bit on kind of, one, what you saw throughout the months of the quarter. And you noted that there were some maybe customers that were waiting to purchase for Syndeo, did you see those customers come back and those purchases come back now that Syndeo has been launched? And then as we look to, say, March, April and even the early part of May, can you comment on what kind of trends you've been seeing in demand, both on the delivery system side and consumable side? And particularly in China, has that demand -- strong demand you saw in March continued throughout April and May.
Andrew Stanleick: Thank you for the question. It's spot on. So overall, we've delivered a really solid Q1 in line with our plan. You're absolutely right. It was a build -- we always had that normal seasonality in Q1 which we had in our plan. And if you look back on previous years, it's very consistent. And we did see it build. So as we said, March was actually our second highest month ever which is -- we are very happy with considering that's before the international launch of Syndeo. So of course, driven by strong really across the board but consumables, particularly across the core perform well. So that gave us the confidence really what we saw going into April globally in all markets, especially in China, where Liyuan and I had just visited to obviously raise the guidance for the year and everything we've seen into Q2 is really positive. And of course, Syndeo got off to a tremendous start everywhere since we launched it early in Q2.
Operator: The next question comes from Margaret Kaczor with William Blair.
Margaret Kaczor: I wanted to maybe go a little bit deeper on some of the commentary on March and China. I know Korrine had just asked that. But was that primarily Shanghai? Or are you getting some benefit from Beijing? And is there any commentary, I guess, that you could provide on the new experience center, whether that's driving demand and even a sense of scale, I guess, relative to what you saw early days in Shanghai as an example?
Andrew Stanleick: Yes. No, exactly. In terms of China, of course, January was very much -- we saw very impacted by COVID, February and New Year but really from March onwards, we saw a tremendous bounce back, both with existing providers turning back on the machine, retrain staff making orders. But then, of course, going into Q2, of course, the launch of Syndeo. And we've seen the pickup of course, in Shanghai, Beijing, Shenzhen but really across the board, Margaret. I think what we're finding all over China is after a year -- a couple of years of lockdown, there's a real hunger for aesthetic beauty and skin care treatment. So we really, really felt very positive when we spent a week or so over there. Of course, the experience centers really help us in rapidly training those staff. We have obviously been locked down and bringing them up to speed on HydraFacial and of course, the new Syndeo system. So that's been working hard. The other great thing about the new experience center in China is that we've built a live-stream studio within it. So we can make content 24/7 to live-stream and you know that's the key revenue driver in China. So yes, we're really boiled with what we saw there.
Operator: The next question comes from Olivia Tong with Raymond James.
Olivia Tong: Great. It sounds like you had quite a strong April. So could you talk about the key drivers to that? Maybe some quantification in terms of exit rate in the March quarter and how April into May has changed relative to that exit rate in March? Or compare contrast Jan, Feb performance versus April and first half of May? And then my second question is around consumables because that tends to be lower than expected. I get that Asia was obviously -- China was obviously locked down at the beginning of the quarter. Was that demand lower than you had anticipated? And was it all Asia or as the make of sales in the U.S. and Western Europe different than you had expected going into the quarter?
Andrew Stanleick: I'll kick off and perhaps also hand over to Liyuan. So we -- I think we've spoken all of us many times about the real natural and consistent seasonality we had in our business in Q1. It was in line with what we planned with that slower January, slower February and then a very strong second --back in March and into April. I think what we were really happy with overall is a solid quarter, just -- we often talk about -- and you and I have talked about this before, the barometer of the health of our business, of course, that strong consumables growth and achieving plus 21% overall for the quarter, plus 35% in Americas. When you think of EMEA, if you exclude the Russia business which we lost the year before, that's another 35% and APAC there, 22%, APAC was very back weighted. So you can imagine the growth which we got in March was absolutely tremendous. But of course, January and February was slower.  And we've seen that go into Q2. And of course [indiscernible] by the launches in day -- if you think of the international markets, Olivia, we've had no new news on the systems side for over 5 years and a lot have happened in that time. So to go in with a big story, a big marketing push all around the big trade shows which are always very Q1 and early Q2 weighted, there's a lot of excitement and that's translated into revenue and consumables pickup.
Liyuan Woo: Yes. Oli, just to build on that from a long chain dynamics point of view, as you can appreciate, it's almost destroying that we made the investment in Q1 and we're launching as part of the launch, we sold a lot of these refurbished leads, almost saying you can trade it up down the road. So as you can appreciate, these refurbish lead, if we did sell and versus that, you can see a potential $46 million top line and complete flows through to the EBITDA margin as well. Of course, those revenue generation would actually take place in the second quarter. So again, marketing investment, a lot of the investments were made in Q1 but then the revenue really comes through a build starting in Q2. Now in terms of the consumables, the only other comment I'll make is, I think the churn really confused folks last time when we met because of the fact that China was shutting down, we're measuring if someone hasn't purchased consumables over 12 months, we deem them churn.  The fact that China came back, that's why you're actually seeing the installed base increase because those stores or locations start opening again. So I think when you see it in the grand scheme of things, the other thing to keep in mind, we had shared with the market, we only run consumable promotions for the most part, twice a year, right? We do it during Black Friday, then we do again HydraFacial birthday or Mother's Day right around May. So as a result, as you can appreciate, some of the APAC market, especially distributors, they kind of purchase based on the promotional period. So that explains about 21 partially what Andrew had mentioned for APAC consumables as well. So there's a bit of timing when it comes to the Q1 results.
Operator: The next question comes from Jon Block with Stifel.
Jonathan Block: I guess I'll ask a pretty direct question. You have a lot of confidence in the business you raised the top line, the EBITDA absolute but you seemingly missed your 1Q 23 implied figures from the late February call. And I just want to sort of ask, I mean is that fair EBITDA, or it had negative gross margin, or was below the year ago? I think you sort of said you expect it in line. So these are small deviations but I want to make sure the messaging is pretty cleaned up. And what is it if that was the case? Because you called out China having a great March. So was it all attributable to the delay in capital purchases for EMEA that caused the suppose disconnect? And then just a follow-up is the consumable growth by region, those details were very helpful. The America's number -- consumable number was very solid. So Andrew, is it just attributable to the 1Q 23 Americas environment on a relative basis, better than EMEA and APAC? Or is it a Syndeo thing which would be encouraging because maybe we could extrapolate that to EMEA and APAC in coming quarters?
Andrew Stanleick: John, thanks for your question. I mean the key message is, jump for us, it's a really solid quarter in line with our plan. I mean we expected that natural seasonality certainly across the Americas. I think the consumables at a plus 35 was something which we were extremely happy about. Outside of that, though, John, you're spot on. I think what we saw and I think you and I probably spoke over last year, I think with the U.S. last year, we were able to surprise the market with the launch of Syndeo. I think what we found outside of the U.S. into Q1, there was a natural degree of holdback from providers in EMEA and in APAC because they sense Syndeo was about to launch, I guess it's human nature. They waited for that to come. And of course, then when we did launch it, we've really had very strong sales since into Q2. But that certainly explains that dynamic in any deviation you felt versus what you're expecting outside of the U.S. for Q1 but it was in line with our plan.
Liyuan Woo: Yes. John, just to address your question in terms of the guidance. We were very thoughtful and purposefully sharing the seasonality when we had the conversation back in February. And the fact that given the launching time, there's anticipated potential weight and slowdown to Andrew's point earlier. I think on the gross margin point, we were fully anticipating coming consistent to last year. But when you really think about the dynamic with the gross margin, there's a bit over 100 basis point difference, most of that is folks really choose to buy that lead refurbish which is what we plan to do as part of the trade-up program, especially when it comes to APAC and EMEA.  And as you can appreciate, those tried-up elite refurbish have very, very low margin because a lot of those came back from the trade-up with the U.S. So it's how we really booked the revenue and margin. So these are very temporary impacts. If we sold both be and these refurbishing leads, then we would have actually had a slight pickup. So there's a bit of the timing that's really impacting gross margin for Q1. And that's partially why we felt pretty confident going forward. Of course, we're going to continue to push for trade-up we still have refurbished [indiscernible]. But given the volume and the ASP coming with new Syndeo systems going forward, we believe consistently, we will see the sequential improvement in gross margin.
Operator: The next question comes from Oliver Chen with TD Cowen.
Oliver Chen: Andrew and Lean, on the guidance raise, what underpins your confidence there? And also, what's assumed in the China situation in terms of your guidance? A modeling question on your comments, on trade-up. How should we think about the margin impact this year relative to what you saw last year in the U.S. for our models? And you covered a lot of great detail on consumables. Just what's the bottom line on near-term growth versus long-term growth that we should incorporate into our thinking and algorithms? And then I should enroll in your beauty NBA congrats on that.
Andrew Stanleick: I'll kick off and allow Liyuan to follow up. But we feel good about raising the guidance on the year. I guess, 2 very clear banks, first of all, what we have in the plan but just combined with the momentum, frankly, we've seen coming out of March globally and also with the really encouraging start to Syndeo and then I think when you add on the real strong acceleration from China on in March, that's what gives us the confidence to raise. And I think we spent the last couple of years, we spoke many times about building up that infrastructure, putting the cells to in place, the training and education centers, getting the right partners. And that's all in place now and we're reaping the rewards of that. So it's a really positive payment for us.
Liyuan Woo: Yes. Just to build on that, Oliver, as you can see for Q1, we actually did positive comp when they come to America's new system sales which speaks for volumes, right? So the part that's missed is really trade-up when it comes to the fact that we were launching last year. So we sold much more trade up last year's Q1 because it was a fresh launch when it comes to U.S. As we look at the margin, again, if you really think about the dynamic with the EV refurbished, if those, call it, 200, 300 units, we didn't sell the refurbished, we actually sold an Syndeo, you would have saw a $4 million to $6 million top line and directly flow through the bottom line. So in that vein, we are going to push pretty aggressively as we shared before on trade-up overall and that's going to be around the globe, right? Because we really want everybody to be on side because not only that provides data to everybody better services, better product newness but also it really helps from a consumable management point of view.  So in that vein, I think we will still anticipate sequential build when it comes to gross margin percentage because all the new units with the margin now gradually with the optimization should start to really flow through, especially also with the volume, as we increase in volume, you should start to see those leverage as well.
Operator: The next question comes from Allen Gong with JPMorgan.
Allen Gong: I just had a quick one on, I guess, the language in your presentation. I think historically, you've really talked about new systems sold in the quarter and this is the first time, I think, that you've phrased as new systems placed -- so like should we read into that as you're seeing maybe a bit more financing, maybe a bit more leasing if you could double tap on that a bit? And also, I think something that would really be helpful is this China dynamic, right? We understand that it really impacted the system build numbers in fourth quarter and we've seen a little bit of a reversal of that in this quarter. But is there any way to quantify that in terms of number of systems that turned back online in first quarter? And whether or not you expect that to be a similar dynamic to really keep in mind for second quarter?
Liyuan Woo: No difference. Sorry, we probably should have just been consistent use the word sold but placed and sold there exactly the same. The only reason we said that is to emphasize it's really placed without trade-up. It's just new systems sold. It doesn't include trade-up. So I just wanted to make that really clear. Obviously, the trade-up is not as pronounced compared to last year. In terms of the churn, we're constantly measuring it based on purchase patterns. So the churn can change also based on who bought consumables again. Not only we're seeing it and I believe most of the China numbers should have reflected already based on the fact that they did come back in February time -- February time frame. But also even in the U.S., we continue to observe as we run these consumable promotions as we really target different tiers of customers, they are also -- we're starting to see really positive signs in some of the providers starting to buy consumables again. So that will continue to improve as we become even more targeted targeting these providers to purchase consumables.
Operator: The next question comes from Bruce Jackson with the Benchmark Company.
Bruce Jackson: It's about the new guidance. Last quarter, you said that the swing factor in the guidance was China and you just took guidance up for the year. So reading between the lines, should we interpret that to mean that you're more confident about China? Or are there some other geographies that are doing better than expected?
Andrew Stanleick: I think it's twofold. I think we've had a very, very encouraging start internationally to Syndeo overall on top of the continued strength in the U.S., you saw that, of course, in that consumable number here in the Americas. But yes, John, China -- Bruce, China recovery is a key element of that. I think we've been extremely pleased with what we've seen so far from March and going into Q2, we're followed very closely but that's what's giving us that real confidence along with the Syndeo launch to raise the guidance.
Operator: The next question comes from Linda Bolton-Weiser with D.A. Davidson.
Linda Bolton-Weiser: Yes. One of the metrics we look at sometimes is Google search trends for HydraFacial. And what we've noticed lately is that the trend is still positive, like growth in searches year-over-year but quite frankly, less positive than in the past. So in the past, maybe it'd be up 40%, 50% year-over-year and now it's more up like 5% to 10% year-over-year. Is there any reason that those Google Search trends would look differently?
Andrew Stanleick: I mean, twofold. I mean, first of all, for the quarter, just to clarify, Google search, organic search was up 13% which I think when you take it back and think that's a pretty amazing result because it comped the launch of Syndeo last year in the U.S. and we had a huge push around that, as you're aware. So to comp that number with 13% is honestly, frankly, a tremendous effort. And of course, we're happy with that. I think ongoing, growth remains very positive. It's just one measure we look at. But of course, the bigger you go, getting those huge comps that will naturally slow down. It's just mathematics. But it's, of course, a key focus for us at search.
Operator: The next question comes from Navann Ty with BNP.
Navann Ty: Do you feel more confident about the low end of the 18%, 20% with the rebound in China in March, April and early May versus the gross margin impact in the first half? And then my second question, have you seen any signs of macro headwinds on HydraFacial in the U.S. and Europe at all? And maybe if I can add a third one. Have you submitted the 510(k) application for the skin status facial indication? And should we expect more information during the next quarter?
Andrew Stanleick: So first of all, I'll kick off and then hand over to Liyuan. First of all, if I tackle the question in relation to the economic environment, I mean, you -- I think we often say that consumables are boronate the health of our business. And whilst no business is recession-proof or immune, I must say, beauty, health and HydraFacial, we plan those categories which are more resistant skincare aesthetics. And despite the -- I think what we're seeing when I speak to providers and I'm traveling all around the world is there's a real disconnect between what we were reading in the newspaper headlines and online with actually what providers are telling us. Many of our providers are fully booked months in advance. In fact, the biggest challenge is actually sometimes finding people to deliver the service. So it's very robust. We saw that throughout Q1 and certainly into Q2. So that's what gives us the confidence to raise the revenue. In terms of your question on the margin, we commit absolutely to the 18% to 20%. I think what we want to do is come out of Q2 and then look at giving further clarity on only raised guidance for EBITDA for the rest of the year. But at the moment, we're absolutely committed to that range 18, 20.
Liyuan Woo: Yes. And just to build on that point, if you think about the reason why we feel confident about the EBITDA flow through, I would say, a couple fold. One, on the gross margin, we have been not only setting up the production site in China for the local production but also continue to value engineer and manage our inventory flow through. So -- and we built in the trade-up assumptions already as we provided the guidance previously. So the more upside we can see with the growth of China which actually have the highest ASP, highest gross margin percentage, combined with anticipated further sales of the Syndeo product, while we outvalue engineering, that give us a lot of confidence on that sequential improvement for gross margin. Separately, as you can see, we actually invested pretty heavily in selling and marketing in Q1. The fact that we have 300 basis points plus of leverage kind of speaks to volume as the sales number goes up even further, you're going to continue to see that truly flow through to the bottom line. One thing I want to emphasize on the G&A is the fact that Q1 is usually the heaviest when it comes to professional service fees because we're expense professional service fees as they incur. So as you can imagine, all the facts testing the heavy audit fees, all of that kind of hit Q1. So that's another reason. So suffice to say, you should really see leverage coming through quarter-over-quarter.
Andrew Stanleick: And to address your final question you raised on skin styles. That's acquisition which we, of course, complete in Q1. We're extremely excited about that. At the moment, as you know, it's FDA-cleared for abdominal scarring and we're in the process of securing approval for other indications. And we'll, of course, keep you posted as that's progressing during the next quarters.
Operator: The next question comes from Ashley Helgans with Jefferies.
Unidentified Analyst: This is Sidney [ph] on for Ashley. Just wanted to ask if you've seen or heard about any pullback in treatment add-ons or boosters kind of given the macro or if you have any expectations kind of for those levels going forward?
Andrew Stanleick: No, that's a great question. Thank you. In fact, quite the opposite. I mean, our consumables strength in Q1 was, of course, driven by consumption but I think what we've been finding is the attachment rate on our boosters as we really double down on our storing telling as new exciting products, be it JLo, Dr. Babor, Moore, of course, we announced the your partnership last quarter. The attachment rates are increasing and it's becoming a key element of our business as it grows, offering that kind of unique level of personalization and customization which really no other aesthetics or beauty procedure can do other than HydraFacial. So that's been a strong driver behind the consumables growth.
Operator: The next question comes from Kyle Rose with Canaccord.
Kyle Rose: I just wanted to kind of ask a dovetail on the previous question there is on utilization. Maybe just any trends you're seeing from a utilization perspective in the Syndeo versus the non-Sendeo accounts? And then similarly, U.S., when we think about actual treatments provided or body areas treated, whether it's Karaviv or treatment outside the base. Just overall, if you could break down some of the utilization trends, that would be very helpful. Kyle, absolutely.
Liyuan Woo: Hi, Kyle. Absolutely. So [indiscernible], right? We didn't really push for boosters as hard prior to Andrew's joining. I think with both of the booster push which really finished off the treatment, provide that personalization but also extending to the body, we actually see that trend picking up around the globe, especially when we were visiting in China, just the excitement and anticipation that we see folks are creating for that noninvasive personalized treatment. So we're seeing a lot of upside. And when you look at the data, Kyle. I would say it's a 50-50 split in terms of number of treatment increasing versus ASP and these different pricing that we added to the fold. We're just getting started. So really looking forward to see we continue to make improvement in that regard.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Andrew Stanleick: Thank you, operator and thank you all for joining us on today's call. In closing, we are pleased with the progress of Q1 and are positive about the momentum we see for Q2 and beyond. There is a sustained enthusiasm for HydraFacial treatments across the globe, together with the rapid rebound we are seeing in China, excitement for Syndeo international availability and sector tailwinds that are very much in our favor. We are confident in our outlook for 2023 and beyond. Once again, thank you for joining today's call and have a great day ahead.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.